Operator: Good morning, everyone. Thank you for waiting and welcome to Cosan's Earnings Conference Call for the Fourth Quarter and the year 2022. Simultaneous translation will be available during the session. To use it, please click on the interpretation button at the bottom of the screen and choose your preferred language, Portuguese or English. Those listening to the video conference in English have the option to mute the original audio in Portuguese by clicking on mute original audio. This video conference is being recorded and will be made available on the company's IR website at cosan.com.br where the full material of our earnings call can be found. [Operator Instructions] Please note that the information contained in this presentation and in statements that maybe made during the earnings call regarding Cosan's business prospects, projections and operating and financial goals constitutes the beliefs and assumptions of the company's management, as well as information currently available to them. Forward-looking considerations are not a guarantee of performance. They involve risks, uncertainties and assumptions as they refer to future events and therefore, depend on circumstances that may or may not occur. Overall economic conditions, market conditions and other operating factors may affect Cosan's future performance and lead to results that different materially from those express in such forward-looking statements. Today, with us, we have Mr. Luis Henrique, CEO; and Ricardo Lewin, CFO and IRO. I would now turn it over to Ricardo Lewin.
Ricardo Lewin : Good morning everyone and thank you for participating in Cosan's earnings conference call for the fourth quarter of 2022 and the full year of 2022. With me today, I have Luis Henrique, our CEO. Before going to the numbers, I would like to highlight that once again we ended 2022 fulfilling our mission and objectives for the year, even in the face of various challenges such as strong fluctuations in macroeconomic indicators, climate change, supply chain organization elections in Brazil, in addition to the conflict in Ukraine, all factors that somehow affected global volatility. Our businesses once more show the ability to navigate different scenarios without losing focus on delivering Rumo'sresults. We had important achievements in the group that were able to follow throughout the year, such as the progress in Raizen second-generation ethanol agenda, the beginning of the execution of Moove's extension to Lucas Rio Verde project, the conclusion of the acquisition of Gaspetro by Compass, now rebranded Skubic. The acquisition of PetroChoice by Moove at Cosan, the increasing its stake in the land segment and acquisition of minority stake in Vale. Let's now move through the main financial and operational highlights of each business. Let's start on Slide 3 with Raizen. Regarding Raizen segments, in renewables, there was a higher sales volume of own ethanol and power and higher average sales prices by a few, resulting in EBITDA increased of 31%. In sugar, higher cost pressured margins, leading to a reduction in adjusted EBITDA that amounted to BRL 118 million in the quarter, even though the crop year-to-date results show expansion of 7% in EBITDA. In Marketing & Services, the operation in Brazil, the most relevant in the integrated LATAM platform was significantly affected by the dynamics of the fuel market with margin pressure, a consequence of price reductions that impacted inventories and the higher product supply in the market, especially ethanol. As a result, we had a 35% drop in adjusted EBITDA which reached BRL 880 million in the quarter. It's very important to point out that with a strong demand from the international market for second-generation ethanol in addition to the current plant in operation in Piracicaba, we have another 3 plants under construction and another 5 to be built to serve customers worldwide and the biofuel commercialization contract, which show until 2037. Let's turn to Slide number 4, which shows the highlights of Rumo. Rumo had an excellent performance both in the fourth quarter 2022 and in the year, reaching the guidance with a record volume in 2022 of almost 75 billion RTK, which was driven by the increase in capacity, mainly in the North operation. the company's capacity utilization record also had the following milestones reached last year, 20.5 million tons in cargo at Rondonopolis terminal and unloaded 514,000 rail cars at the port of Santos in addition to 7 billion RTK in July. It's worth mentioning that Rumo started its first phase of the extension to Lucas do Rio Verde, which is essential to ensure the infrastructure for grain supply and input for the global food chain. This first phase consists of 200 kilometers railway to [indiscernible]. Let's turn now to Slide number 5, which shows Comgas figures. Once again, we reported robust results in the quarter and in 2022 at Compass, reflecting the consolidation of ComEd's results and the higher volume of natural gas distributed by Comgas in residential and commercial segments, combined with the effect of inflation adjustment on the margins, which neutralizes the decline in industrial volumes due to the slowdown in the period in line with its planning, Comgas made divestments in some of commits assets in addition to continuing the investments in the final phase of grade identification terminal construction, which should begin operations in the second half of this year. Let's turn now to Slide number 6, which shows the results of Moove. Moove delivered a consistent performance in the fourth quarter 2022 and in the year, with EBITDA evolution driven by the growth in sales volume, the profitability of its portfolio and the consolidation of PetroChoice. This results much more reflects the focus on operational efficiency and the assertive execution of the commercial and supply strategy in all regions where Moove operate. Moving on Slide number 7 shows the consolidated results of Cosan. The main component of the result of Cosentino is the land segment which is composed by Radar, Paros and Jonas. The strong growth in EBITDA was driven by the carried out in the fourth quarter in addition to leasing revenues resulting from the acquisition of additional stakes in Tellus and Janus in October. In the Corporate segment, expenses declined explained by the exercise of compensation plans in the fourth quarter last year. In addition, adjusted other operating expenses are composed mainly of legal expenses and contingencies in the fourth quarter 2022. As a result, adjusted EBITDA increased in the period, mainly driven by the revaluation of agricultural properties and the strong results delivered by Rumo. Meanwhile, adjusted net income grew when compared to the same period last year. Let's go to Slide number 8 to talk about Vale. Regarding the acquisition of minority stake in Vale and also in October, we concluded this quarter the issuance of preferred shares by Cosan Days owner of 88% of the shares of Compass and Cosan now the owner of 39% of the shares of Raizen. With this operation, Bradesco BBI Bank now holds 23.3% of the total capital stock of Cosan Days and [indiscernible] now holds 26.9% of interest of Cosan. On this slide, we present the effects of the acquisition of a stake in Vale on Cosan results with the aim of ensuring transparency of the recognitions and a normalized comparison basis. Finally, I would like to inform that we made a voluntary statement of the financial statements of the third quarter 2022 so that they better reflect the impacts of Vale's operation, making the exposure to direct participation of approximately 1.5% and the movement in the appreciation of the stocks and derivative structures in the colorized operations more transparent. Let's go to Slide 9, where we present the group's financial highlights. In 2022, we continue with our usual capital discipline, increasingly seeking to optimize CapEx and increase cost and supply synergies. The increase in gross debt is mainly explained by the contracting of loans used for the acquisition of Vale shares that compels the current structure as well as mark-to-market adjustment of the derivatives in the transaction. Cash generation to equity was higher in this quarter than in the fourth quarter 2021, due to the loans taken out for the acquisition of the shares in Vale, the operating cash generation of Moove and Compass and the divestment of the pork loading terminal T16 and T19 at Moove. As a consequence of all that has been said despite the increase in gross debt, leverage decreased compared to the third quarter 2022 due to the lower net debt and higher EBITDA of the last 12 months, remaining at adequate levels for the group. Before closing, I want to go over our ESG agenda. Please let's turn to Slide number 10. In 2022, we fully complied with the Strategy and Sustainability Committee's agenda and started a common construction for the group on the ESG team with the aim of revising our materiality and sustainability strategy, resulting in our 2030 ESG vision. Regarding the year's performance, Cosan maintained its participation in the B3 carbon efficiency index and in the B3 sustainability index. We also advanced in other important indexes, such as the down Jones and the MSCI ESG score, in addition to maintaining A minus grade and leadership position in CDP and being again selected to be part of the Teva Women in Leadership Index as a result of its commitment to creating actions that promote an increasingly diverse and inclusive environment at the holding company. In terms of business, Raizen Compass human move received the gold CEO in the GHG protocol in the 2020 cycle that refers to 2021 GHG inventories and emissions. Here, I conclude my presentation, and now Luis Henrique will make his final remarks. After we can move on to the Q&A session. Thank you.
Luis Henrique : Good morning, everyone. Sorry about the technical glitch. Thanks for joining us. I'll be brief because we want to take as many questions as possible. I'd just like to highlight a couple of points about the companies that didn't have their court. Compass had a great year. We increased their EBITDA by 28%. We have expanded our network. We have added new assets through the integration with our new partner. We had a great dividend payout without affecting the company's solid leveraging at 1.26. So yet another year where Compass has done a great job in terms of natural gas in Brazil, expanded naturally through our acquired portfolio divesting from assets that are not part of our core strategy and offering technology, human and technical resources. And everyone likes what they see. Whenever we acquire assets, we don't always know what we're going to find, but I just wanted to say to you that we're extremely happy with the assets that we have acquired with the people and our partners in each of the states. So things are looking up for Compass. It's been a great year, and it's turned our footprint in one single stage into a multiple stage footprint. Another important solid consolidation at all geographies, especially because we went into the U.S. with Moove and just like I said about Compass, we now have PetroChoice and Tarena, great results. We're implementing our management model and our ability to grow the business profitably, significantly and by offering quality to our clients. 41% increase in its EBITDA at Moove, increased sales and fantastic results. And lastly, it's very important to talk about our land portfolio, which has been consolidated across 5 main areas where Brazil has a comparative and competitive advantage, mining, carbon credit, renewable power, oil and gas and food through logistics and Rumo. So we're very happy with the progress we've made. Now the challenge for 2023 is to make sure that we are executing on all fronts and delivering profits, good results and financial discipline that can come from the quality of our very complete portfolio. And now we're open to questions.
Operator: Will now begin the Q&A session. [Operator Instructions] Our first question is from Guilherme Palhares sales side analyst from Bank of America.
Guilherme Palhares: I'll be brief, as usual. First about land management, you've had a great BRL1.3 billion appraisal, but it struck me that the company has already sold some land, about BRL500 million. We saw that in the financial statement. Could you talk about your land management portfolio and that sale after the acquisition of Janus, Tellusand Radar and what's in your asset sale pipeline looking forward? And the second question, Luis talked about executing on the divestment pipeline. I'd like to hear about which assets you might want to bring to market. Do you still have any in the company? And what kind of schedule do you have in mind? We know that, there are some preferences. If you could update us on that regard, that would be great. Thank you.
Luis Henrique: First question, you've answered it yourself. It's about portfolio management. So we'll look at all the land that we have in our portfolio, their maturity, the valuation, often, there are opportunities through neighbors or people leasing our land. So we need to manage all that. We don't really have a goal or a target in terms of selling our land. We have been trying to make the right decision at the right time by looking at our portfolio. We are looking at irrigation, because that brings a great deal to value to the land and increases crop yield in some very specific regions in Brazil, and that could become a future portfolio in terms of selling price compared to what we have done. We acquired a farm that had a great price and there was an opportunity, a partner buyer wanted to buy it, so we sold it. And that's very natural in that portfolio. It will continue to happen. I mean no pressure, because the profits coming in from rent, the quality of the 2023 crop so far for all crops are looking great. Soybean, sugarcane, cotton, corn and so on. As for Compass, as you know, when we announced the deal, we agreed to sell many distribution companies. Those have been sold, but we still have 5 of them with the original Gaspetro position or the liquid position of the proportionate execution in the states where they took place. That is ongoing, obviously, awaiting decisions by partners but as we have said from the start, we have signed an SPA with the company to sell those assets if prior conditions are met.
Guilherme Palhares: Just a follow-up question about Compass, please. Could you talk about Compass' guidance? They just released it on the 28. If you could give us some color on the CapEx. If you could talk about the TRSP for the month, that would be great.
Luis Henrique : TRSP for '23 is less than was invested. It's a very small fraction. The TRSP is basically complete. There are some final CapEx points, but most of it has been done. And let's not forget that it's a major year for Comgas in regulatory terms. So there are many commitments that have been taken on for the 5-year plan. And as usual, we will keep to our regulatory plan, which was agreed on with Sao Paulo state. So there's some of that CapEx, which has to do with the complement of Comgas' regulatory cycle in its fifth year.
Operator: Next question is from Bruno Montanari, sell-side analyst from Morgan Stanley. 
Bruno Montanari: Could you talk about Vale's structure? Originally, I think you had expected to have a significant classification. And so you would have booked that as equity income and thereby decrease the volatility of financials. Now the way I see it, it looks a bit more difficult to understand the movements because of the mark-to-market. So looking forward, will there still be a significant influence on the accounting? And in terms of quality, how are talks with Vale progressing as well as other shareholders since the acquisition has been announced? And what will be Cosan's next strategy steps to make a contribution to improving the company's processes?  Now to a more macro view and perhaps more specifically about Luis Henrique, could you talk about the pure tax fluctuations and tax on oil exports? How do you see that on net terms for the industry?
Luis Henrique : Thanks, Bruno. I'll take your second question about Vale, and I'll answer the question about taxes, and then Levi can talk about accounting. Well, actually, we are working within the company's governance principles and working with other shareholders to find opportunities to help Vale perform as well as it can be and achieve the best results possible. At the end of April, we'll have the company's general meeting, we will be electing a new Board. And this is an ongoing process. We have the Appointment and Governance Committee, and they will be appointing the members. So obviously, we're making sure that we are represented according to our stake. So nothing has changed. We're still very excited about the asset. It's quality, the quality of the people and the opportunity presented by the carbon energy transition, considering Vale, it's our portfolio and the base metals portfolio quality. There are challenges to be overcome, obviously, like in any other company. But generally speaking, we're just waiting for the time when we can participate more actively through joint governance. We will be in the Board, obviously. To make sure that the company can, together with other shareholders, post the results that it has been seeking. With regards to taxes, yesterday was an important day for the industry, but also for the country. In my opinion, there is a clear gesture of fiscal responsibility concerning taxes. This administration has chosen to gradually go back to taxation. But obviously, keeping the difference in taxes between fossil fuels and renewable fuels. It seems an important step by this administration, which focused strongly on the environment. And that will help Brazil become the green power of the century. Ethanol is also a major element. If you heard to Minister Haddad and Minister [indiscernible], they clearly mentioned how necessary and how urgent it is for Brazil to make the most of this opportunity and summoning the industry to step up when it comes to ethanol. So obviously, we'll need the right regulatory framework, RenovaBio and consumers, but it's a very positive nod to the market. And the way they did it, I would even say that it has an unexpected effect, which is to reduce tax evasion on ethanol, which is a product that has always suffered because of the low tax rate anyway. So I think it's positive. We'll see what will happen with the new degrees, but we can see tax responsibility, environmental responsibility and this administration's willingness to send those resources to the best places. Now in terms of accounting, I'm talking as an individual whenever you look at export taxation, I do understand why this administration has done that to try and strike a balance. But I think we need to think about that to make sure that there is investment in oil and gas, Brazil, again, has a competitive advantage, and that should not be harmed. Going back to taxation is always a challenge to any administration for whatever reason. The way I see it, the government is trying to find a balance on all fronts. We just need to make sure that we're not sending the wrong signal to the market when it comes to major investments. And oil and gas in Brazil is a huge opportunity. There's an opportunity to grow. The pre-salt is highly productive. And there's an opportunity to provide more gas. So that gas can become an even more important element to the Brazilian power grid and taking it to our own distribution and third-party distribution. So this market can develop as fast as it can.
Ricardo Lewin : Hi Bruno. So about Vale's accounting, it's important to say that, I mean, it goes without saying, but it's a very complex operation. All the stakeholders are learning how this operation will move forward. Investors, founders, auditors, everyone is learning. Everybody is discussing this operation right now. Having said that, let me tell you a little bit about how this accounting took place over time. In September '22, when we were buying Vale shares, when we disclosed our financial statements for the IDR, we had the choice to book that to book Vale's shares as a variation in our assets or to put that as our net equity. So it wanted to avoid any major fluctuations. We decided to book that as net equity. In the third and fourth quarter, I mean, we concluded Vale's deal, and we're all familiar with the share structure, the derivatives, we have the color and the synthetics. At the end of the third quarter, when we were talking to auditors, we came to the conclusion that all of those derivatives couldn't go into the OCI which is the equity. So they had to be booked as a result. If we were to leave the share fluctuations as net equity and derivatives as a result, there would be a mismatch, right? It wouldn't have been transparent to investors or to anyone reading the financial statements. So part of that would have been earnings and part of that would have been net equity. So we thought that the fairest thing to do in terms of transparency was to break down September and to put everything under earnings. Your question was, will there be any quarterly changes. Yes, there will be, but we will be transparent, we'll see any derivative changes and also in our direct stake in the equity itself. And there was also another change when we restated from September to December. Our shares went from short-term to long-term from noncurrent to current. Obviously, that's an accounting term. We don't intend to sell those assets in the next 12 months. This is a long-term investment, so it moved from current to noncurrent. Let's see if I've answered your question.
Bruno Montanari: Yes, it's very complex. I think, I still have a few questions as you advance with the derivatives. Are you going to still book this as an investment and not real estate?
Ricardo Lewin : Yes, this is going to depend on a number of variables always. This is an operation with lots of protections so that we can advance properly. I know it's not simple, but it is important that we look at this. We didn't exercise our forwards yet. We have discipline. We're disciplined when it comes to capital and options. And we will only do this when we believe that it's necessarily what it makes sense to do so. So it's still an operation below 5%. Despite cash hitting 5%, that we we'll be able to responsibly manage the portfolio and work with the variability and the fluctuations that we expect, especially because of the cost of capital here in Brazil right now. So again, I don't have a yes or no answer for you. It's not black and white and when the time is right, we will obviously disclose everything that needs to be disclosed. If we do it, when and why and what this implies since we're doing our release, regulatory is focused on this. There is a part of it that's focused on this. So it will be very clear what we're doing and when we do it. Thank you very much.
Operator: [Operator Instructions] Moving forward, Marcelo Gumiero, sell-side analyst, Credit Suisse.
Marcelo Gumiero: I actually have a few questions about Vale. Timeline expectations, I know this 1.6% is still tied up in capital. It depends on a lot of different factors. I understand that. So my question is really Compass, as you see it, what are the next steps for integrating commit? Are you looking to move to reassessments of distributors or expand the network or improve operating efficiency? So I just want to know where you are seeing the value and earnings in the near future with Compass. Thank you very much.
Luis Henrique: Thank you, Marcelo. When we look at ComEd the company is integrated operating assets fully managed, fully integrated with its own governance. So ComEd is really doing very well and getting a return on what we expected with the opportunity to work with the opportunity to work with a number of distributors. We have different models with different distributors. We're going to work within the contracts. We're going to work within possible opportunities to expand to renew. But the real question is, together with the partners to implement the best practices that come from Comgas and from other partners so that we can expand the network, improve customer satisfaction, reduce costs, generate more efficiency, understand all of the opportunities before us so that we truly as a company can maximize profits, satisfy our clients and meet the needs of society together with the government.
Marcelo Gumiero: Just a quick follow-up for Compass. We saw that you've been looking the portfolio, you always look at the portfolio. Have you had an opportunity to assess a stake in privatization of SC gas? I just want to know if you're taking a look at that or the concession agreements.
Luis Henrique : Standard answer, but I'm going to repeat it. All the assets that's in our 5 mine pillars that we mentioned before competitively. And comparatively, we always analyze it, we always consider it. So yes, we're looking at the asset, and we'll take the right decision at the right moment. But our focus currently is on executing the portfolio under our management. There are plenty of opportunities. As I mentioned, we really liked what we received right off the bat. We love our partner relationships. I'm quite pleased. And there are some excellent upsides with this deal. Thank you very much.
Operator: Gabriel Barra, sell-side analyst Citi. 
Gabriel Barra: Just two quick points. Almost a follow-up on the previous question. I know there's a standard answer, Luis Henrique. But I just wanted to understand Compass' long-term outlook. There was the first IPO attempt. And one of the main points was acquisition of Gaspetro. Have you understood that, have you closed the cycle for gas in Brazil looking at the new gas market here in Brazil and new opportunities. Fast forwarding, we really delivered specifically with the acquisition of Gaspetro, that was a real highlight. But what can we expect moving forward for Compass? Where is the focus going to be? Where do you see true value? Is it consolidation, M&A, acquisitions, perhaps divestments or improving efficiency, replicating Comgas. Comgas in the past moving forward? That was point one. One of the main value points is the sale of gas for the free per buyer. So this is actually a kind of an ongoing question I have. When, we look at the regulations, government regulations. So the real question is, when we look at gasification, what do you expect, how do you expect to tie this into the operation and how do you say, progress for these free sales, I think there's a lot of opportunity there moving forward. So I'd just like you to comment on both of those points, if you could. Thank you.
Luis Henrique: Yes. You really already included a number of answers in your questions. Compass had a number of elements in the IPO, and we've been working together with the IP and Cosan team. [indiscernible] with sales and great excellent gas competitiveness, which will make it a free market, so they're going to be, there needs to be a benefit to this. There needs to be a benefit to this shift. There's going to be more flexibility, supply, price and other indicators as well. Not all gas is the same as we've heard before. When we look at flexibility and pricing indexing extend, take of pay. All of this will give us the great opportunities. Secondly, privatization. There may be other opportunities to participate there. And third is efficiency as you mentioned. Our expansion, our operating model for cross-selling, upselling and new applications applies for all distributors. We've seen that Comgas is quite successful. Despite all of the difficult situations that Brazil has experienced, but we've still been able to deliver for industrial, private, et cetera, and cogeneration. So this is a portfolio that we're building that we're expanding through our number of operators. So really, nothing has changed. And you talked about commercialization sales. It's hard. It's not a simple answer. 60% of our clients are free market. So the question is why? Why is this the case? There's no alternative. There are taxes. There's a lot of regulation regarding transport and so on and so forth. So it's a question of time. And again, we're going to be expanding our distribution network and expand demand presales is very robust for gas. This has been increasing efficiency for petroleum. But as soon as there is demand, and we've resolved some of these regulatory problems and some of these tax issues and even infrastructure issues, the free market is going to be ready, and we are ready as Comgas, we're going to be ready to respond to that need. And just the starting second half of the year is going to be a clear, it's very clear, very important for the separation. 
Operator: [Operator Instructions] The question-and-answer session concluded, I'd like to hand it over to Luis Henrique, CEO, for his final considerations. 
Luis Henrique : Thank you for opportunity for the chance to talk a little bit more about our business. It's quite simple. We built a very strong promising portfolio on a number of different fronts, consolidation and growth especially with Rumo, Compass, Moove, Raizen, incomes investments. And so this is the year of execution. 2023, we'll be exiting. We've got great plans with Raizen. We've got a plant that will be ready on time as promised. It looks like we have a wonderful year in terms of yield and productivity. We expect excellent results. We're quite happy with the [indiscernible] how things are turning out. How things are working out in terms of territories, taxes. Tax changes have been wonderful for Raizen. Sugar was 20% up, increase in 20% production in sugar this year, so it's wonderful. So this just makes it clear for us that this is great. In terms of Rumo, we started expansion to Lucas do Rio Verde. And every year, remote needs to deliver beta targets to deliver on soy and ethanol and refined products and corn, etc, etc. And everyone is extremely excited and well prepared to do this. Moove is doing well, especially in the U.S. delivering in more consolidated mature markets. It always looks for a great balance between profitability and opportunities, and it's really delivering a number of great results for our partners and looking for opportunities in the geographies where it operates throughout the Americas and Europe. When we look at Compass, and we talked quite extensively about that, so I don't need to repeat myself with Vale, we're making great progress. And of course, we always talk to the Board and to investors so that there is a quality in all of the decisions we make and look in terms of lands, we look for great opportunities for selective purchases, preservation, decarbonization and excellent discipline in terms of payments, distribution and dividends balanced out with excellent use of an investment of our capital. We're being quite disciplined in that regard. As I mentioned in other calls, we're very disciplined. We've looked at great opportunities, selective opportunities for the companies, not just Rumo, but we're looking at other companies. We're looking at assets that are excellent quality assets, but that will bring operating value, financial value, value to the companies. And we'll strengthen our capital structure and allow us to meet our commitments. We're very well positioned. We've been very careful. Looking abroad, we know there's challenges as every year. Some of the challenges are different depending on where we're operating, but we're very focused on execution and continually supporting our pipeline for growth and talent. So this is the challenge we're facing right now commit better choice. We're looking for quality talent to help our companies grow and be ready for this energy transition and decarbonization. So thank you so much, and thank you for being on this call.
Operator: Cosan's fourth quarter 2022 earnings video conference is now concluded for further questions. Please contact IR department. Thank you so much to our participants, and have a wonderful day.